Operator: Good morning and thank you for joining us for the Hovnanian Enterprises Fiscal 2020 Third Quarter Earnings Conference Call. An archive of this webcast will be available after the completion of the call and will run for 12 months. This conference is being recorded for rebroadcast and all participants are currently in a listen-only mode. Management will make some opening remarks about the third quarter results and then open the lines for questions. The Company will also be webcasting a slide presentation along with the opening comments from management. The slides are available on the Investor's page of the Company's website at www.khov.com. Those listeners who would like to follow along should now log on to the website. I would now like to turn the call over to Jeff O'Keefe, Vice President, Investor Relations. Jeff, please go ahead.
Jeffrey O'Keefe: Thank you, Irwin. Thank you all for participating in this morning’s call to review the results for our third quarter, which ended July 31, 2020. All statements in this conference call that are not historical facts should be considered as forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Such forward-looking statements include, but are not limited to statements related to the company's goals and expectations with respect to its financial results for future financial periods. Although we believe that our plans, intentions and expectations reflected in or suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions or expectations will be achieved. By their nature, forward-looking statements speak only as of the date they are made, are not guarantees of future performance or results, and are subject to risks, uncertainties and assumptions that are difficult to predict or quantify. Therefore, actual results could differ materially and adversely from those forward-looking statements as a result of a variety of factors. Such risks and uncertainties and other factors are described in detail in the sections entitled Risk Factors in Management's Discussion and Analysis, particularly the portion of MD&A entitled Safe Harbor statement, in our Annual Report on Form 10-K for the fiscal year ended October 31, 2019, and subsequent filings with the Securities and Exchange Commission. Except as otherwise required by applicable securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances or any other reason. Joining me today on the call are Ara Hovnanian, Chairman, President and CEO; Larry Sorsby, Executive Vice President and CFO; and Brad O'Connor, Senior Vice President, Chief Accounting Officer and Treasurer. I'll now turn the call over to Ara. Ara, please go ahead.
Ara Hovnanian: Thanks, Jeff. I hope all of you and your families remain safe and healthy during these challenging times. Here we are in September of 2020, and although COVID continues to impact all aspects of all of our lives, the environment for new home sales remains robust. I'm going to review our third quarter results and then address the current market environment. As usual, Larry Sorsby will follow me with more detail before the Q&A. COVID has changed the way we do almost everything. The safety and well-being of our associates, customers, trade - and trade partners remains a huge focus at our company. We continued to successfully work through all the obstacles that are thrown our way by COVID - by the COVID-19 pandemic. We're working hard to ensure a safe working environment. Our associates have been absolutely amazing in continuing the day-to-day efforts to keep our operations running and planning for the future in the face of these uncertain and very difficult times. We switch to a virtual environment seamlessly and actually moved into high production sales and delivery mode at the same time. Given the challenges that COVID-19 has created, we're pleased with our third quarter performance. On slide four, we compare year-over-year results for our third quarter. As you can see in the upper left hand quadrant of the slide, total revenues grew 30% to $628 million during this year third quarter. Moving to the upper right hand portion of the slide, you can see that our gross margin was $106 million for the third quarter compared to $84 million last year. Reacting to slower demand in the early stages of the COVID-19 crisis, we offered consumers additional incentives on spec homes that could be delivered during our third quarter. This increased the volume of deliveries and gross margin dollars, despite a reduction in our gross margin percentage from 18.4% to 17.5%. Home demand began rebounding in May. Since June, we pivoted to increasing home prices in virtually all of our markets. These home price increases should offset potential price increases and result in improvements in future gross margins beginning in the very next quarter, our fourth quarter. In the lower left hand quadrant of the slide, you can see that our total SG&A ratio improved to 9.5%. That's 260 basis points below last year's third quarter. We were able to reduce the ratio because our total SG&A dollars only increased 2%, including a $3 million charge for severance and related expenses, while our revenues increased 30%. In the lower right hand quadrant of the slide, we show that EBITDA increased 88% from $35 million in last year's third quarter to $66 million this year. On the left hand portion of slide five, you can see that our pre tax income for the third quarter increased $23 million from a $7 million loss last year to a $16 million profit this year. If you ignore the $2 million land charge and the $4 million gain on extinguishment of debt, the pre tax adjusted income was $15 million for this year’s third quarter compared with a $5 million loss in the same quarter of last year. Slide six shows the number of consolidated contracts on a monthly basis for each month from January through August compared to the same month one year ago. As you can see, we began the calendar year with solid improvements in sales, up 31% in January, up 44% in February. This was before most Americans were aware of the COVID issue. Typically the spring selling season peaks in April each year. But 2020 is a strange year that has been whipsawed [ph] by the COVID-19 problems. Due to the nationwide shutdown demand during our typically strong spring selling season was dramatically dampened during March and April. You can see that on this graph. In the month of May, our sales pace rebounded and has remained exceptionally strong each month since. We recognize that demand was outstripping our ability to get these homes built and delivered within a reasonable timeframe. Furthermore, lumber costs have recently increased, and we suspect that our industry may experience additional material and labor costs soon. Therefore, starting in June, we focused on raising home prices to offset potential price increases and to improve our gross margin. By increasing home prices, we understood that demand could cool down from the white-hot sales level. Nonetheless, during August, we sold 735 homes, up 65% over last year's August. If you look at contracts per community on a monthly basis, as we do on slide seven, you can see a similar trend. Contracts per community increased for the first six months shown. And then of course, COVID-19 impacted March and April, then returned [ph] back again, and we had a very strong increase in May, all the way through August. Our August sales per community increased from 3.2 last year to 6.6 this year, that's 106% year-over-year improvement. It's certainly indicative that demand for new homes remains exceptionally strong. We plan to continue pushing home prices, recognizing that this may slow down sales pace in certain communities. We believe that trading margin and pace makes sense in this market right now. On slide eight, we show that our quarterly contracts increased 47% to 2,226 homes from 1,515 homes in last year's third quarter. This is the highest level of contracts for any quarter since the second quarter of 2008. The picture is even better on a per community basis, which we show on slide nine. Here you can see that we had 19 contracts per community for the third quarter this year, that's compared to 11 for the last years third quarter. That's a 73% increase year-over-year. When you have a 73% increase in year-over-year contracts per community for the recent quarter followed by 106% year-over-year increase for the most recent month, it's easy to worry about approaching a market peak. But you really need to take a step back and look with a broader long term perspective. We do that on slide 10. Here we show annual housing starts from 1997 to the year to date annualized pace as of July 2020. In July of 2020, we're only at an annualized pace of 1.29 million starts. That's not a level that indicates a market peak or a bubble. Obviously, we're doing much better as an industry than we were in the depths of the great housing recession in 2009. But we're not even close to previous decade annual averages for starts, let alone near any cyclical peak that we hit in the last 60 years. So also comforting that the purchases seem to be driven by end users today, not speculators. When you consider the historically low interest rate environment, which is likely to be with us for some time, it makes one even more comfortable with the current sales market. This recent significant uptick in the housing market caught developers and home builders by surprise. At the current sales pace, builders will be selling out of communities faster than they planned. This makes it challenging for most builders to grow their community count over the short term. It will take significant time to gain control of new land parcels, obtain entitlement, complete land development and open new communities for sale. Therefore, in order for our industry to meet the increased level of demand for new homes, I suspect that sales velocity per community will remain at higher than normal levels for some time to come. There are simply not a large enough supply of lots available in the marketplace. If you turn to slide 11, you can see another view of contracts per community with longer term trends. On the left hand side, we show our average annual contracts per community from 1997 to 2002. As we've said many times in the past, this was neither a time of boom or bust for housing. We averaged 44 contracts per community during this period. In the middle of the slide, you can then see the steady growth in contracts per community for each of the past several years. Finally, on the right hand side of the slide, we show that contracts per community for the trailing 12 months that we just ended were 48 compared to 37.4, a year ago. For the first time in over a decade, we're slightly above our historical normalized sales pace. But we're still well below the peak pace, somewhere near 60 homes per community. And this is what we achieved during the last cycle. Once again, based on the historical perspective of US housing starts, and the scarcity of new communities that are ready and open for sale, I wouldn't be surprised or overly concerned to see the current higher sales pace per community continue over the next year or two. As many have discussed, we also believe that there are three factors that are influencing this increased market demand for new homes that are - that everyone is seeing throughout the country. First, we're at historically low mortgage rates, making homeownership very affordable today. Second, in most markets the inventory of existing homes for sale are extremely low. And finally, there's a strong desire by households for more indoor and outdoor space. When you’re shelter at home for months on end, you really think about what kind of home you want to be living in. The combination of these three factors is driving much of the demand that we're seeing in communities today. I'll now turn it over to Larry Sorsby, our CFO.
Larry Sorsby: Thanks, Ara. I'll start on slide 12. This was another strong quarter for our Financial Services division, driven by historically low rates and increased volumes, Financial Services third quarter pre tax earnings increased 182% year-over-year to a $11 million. On slide 13, we show that we have a solid backlog of 3,056 homes under contract at the end of the third quarter. The number of homes in backlog was up 20% and the dollar amount was up 17%. Our white-hot sales pace caused us to sell out of communities faster than we anticipated. If you turn to slide 14, you can see that our consolidated community count declined by 21 communities from 138 on July 31, 2019 to 117 at the end of July this year. In addition to selling through communities faster than we expected, there were two additional reasons for the decline. First, we had 14 community grand openings that were expected to have occurred by July 31 this year, but were delayed primarily due to COVID-19 issues. Second, we contributed four wholly-owned communities into unconsolidated joint ventures during the first quarter of fiscal 2020. Frankly, we thought that we would achieve revenue growth through community count growth. In reality, the significant improvements in sales pace we are achieving has been the driver of our 27% growth in revenues through the first nine months of this year. Similar to our peers, during the initial stages of COVID-19, and the uncertain economic environment it created, we took measures to preserve cash by delaying certain land purchases, land development activity, and beginning work on some unsold homes. During a third quarter we returned to our normal activities with respect to land purchases, land development, and building spec homes. However, as you can see on slide 15, our extremely strong sales pace [ph] made it very difficult to increase our supply of unsold homes. Homes were selling faster than we could get them started. We ended the quarter with 288 started unsold spec homes. This compares to 790 spec homes at the end of the first quarter. As you can see on this slide, the spec count has been steadily trending down. We had 2.5 spec homes per community at the end of the third quarter. We've not made any changes to our spec strategy. The lower spec count at the end of the third quarter is simply a result of the hot market. Turning to slide 16. There is no doubt that some homebuyers want to move in to their new home quickly. On the left hand portion of the slide, you can see the contracts for spec homes increased 15% year-over-year during the third quarter. What some of you may find surprising is that demand for to be built homes is even stronger than for spec homes. Shown on the right hand portion of the slide, our contracts for to be built homes were up 81% during the same quarter. Clearly having an ample supply of specs homes is not required to achieve significant growth in sales and revenues. On slide 17. We control 25,748 lots or a 4.4 year supply at the end of the third quarter. Despite the adverse impact of COVID-19, we added 1700 newly controlled lots during the third quarter, after temporarily slowing new land acquisitions due to COVID-19 during the second quarter, given the recent improvement in demand for homes, today our land acquisition teams are back in the market sourcing new deals. We control today virtually 100% and almost 80% of the lots required to meet our respective 2021 and 2022 delivery forecast, including meaningful growth in 2021 deliveries and additional growth in 2022. I can tell you that the number of land and lot [ph] opportunities being brought to corporate land committee has significantly picked up recently. We remain disciplined through our underwriting standards using current home sales price, current home sales pace and current construction costs. If we find land opportunities that pencil under the self-adjusting criteria, we will move forward to control them. As you can see on slide 18, we ended the third quarter with $334 million of liquidity. During the third quarter of fiscal 2020, our land and land development spend was $163 million, a slight increase over the same quarter a year ago. Our third quarter liquidity position remained above our target range, even after we purchased $26 million of our 22 bonds at a discount. We have excess capital to invest and we're busy replenishing our land supply. Turning to slide 19, compared to our peers, you can see that we had the third highest percent of land control via options. We continue to use land options whenever possible in order to achieve high inventory turns, enhance our returns on capital and reduce risk. We are pleased to control 61% of our land through options. Looking at our consolidated communities in the aggregate, including mothballed communities, and the $195 million of inventory not owned, we have an inventory book value of $1.2 billion net of $189 million of impairments. Turning now to slide 20. Compared to our peers, you can see that we have the second highest inventory turnover rate for the trailing 12 month period. Although we lag NVRs, industry-leading turnover number, our turns remain 50% higher than the next highest peer below us. High inventory turns are a key component of our overall strategy. We believe one of the key pure operating metrics for the homebuilding industry is EBIT to inventory. This metric neutralizes the impact of debt. On slide 21, we show the trailing 12 month EBIT to inventory for us and our peers. This ROI metric measures pure operating performance before interest expense. We remain well above median when compared to our peers on this metric, we and the entire industry are still not at normalized historical ROI levels, but we believe ROI returns will improve for all of us. We continue to work hard to get even further to the right on this chart. One of the ways we can achieve this is by maintaining our focus on inventory terms [ph]. Another area of discussion is related to our deferred tax asset. Our deferred tax asset is very significant and because it is fully reserved or by valuation allowance, it is not currently reflected on our balance sheet. We have taken numerous steps to protect this asset. As of July 31, 2020, our deferred tax asset in the aggregate was $593 million. We will not have to pay federal income taxes on approximately $1.9 billion of future pre tax earnings. On slide 22, we show that we ended the third quarter with a shareholders deficit of $480 million. If you add back our valuation allowances we've done on this slide, our shareholders equity would be positive $113 million. Turning to slide 23. On the top of this slide, we show our maturity ladder at the end of the second quarter. On the bottom of the slide, we show what it looked like at the end of the third quarter. During the third quarter of fiscal 2020, we used $21 million of cash to repurchase $26 million of face amount of our 10% second lien notes due 2022. We're confident that we will either pay off or refinance at or prior to maturity our remaining $111 million of second lien notes due in 2022. We will continue analyze and evaluate our capital structure and explore transactions to further strengthen our balance sheet. Turning to slide 24. I would now like to discuss our expectations for the fiscal 2020 fourth quarter. Assuming no changes in current market conditions, we expect to report fourth quarter results with total revenues between $650 million and $680 million. Gross margins to be in the range of 19% to 20%. SG&A as a percentage of total revenues to be between 8.5% and 9.5%, excluding land related charges and gains or losses on extinguishing debt, we expect adjusted EBITDA to be between $70 million and $85 million and our adjusted pre tax profit for the fourth quarter of fiscal 2020 to be between $20 million and $35 million. Looking at fiscal 2021 and assuming no changes in current market conditions, we expect total revenues to be between $2.5 billion [ph] and $2.6 billion for the full year. Additionally, we anticipate meaningful improvements in EBITDA and pre tax profits for fiscal 2021 compared to fiscal 2020. We also expect improvements in our gross margin, but it's difficult to give clear guidance on gross margins given the recent rise in lumber prices. And given the increased demand for new homes, there's potential for additional material and labor price increases. That concludes our prepared remarks, and we’ll now open it up for any questions you might have.
Operator: [Operator Instructions] Our first question comes from the line of Alex Barron from Housing Research Center. Your question, please?
Alex Barron: Hey, guys, very strong quarter and congrats on that.
Ara Hovnanian: Thank you.
Alex Barron: I was curious about your guidance on the margins 19% to 20%, it sounds very good. But what was the reason the margins kind of took a step back this quarter or what accounts for, you know, the step back now versus the step up next quarter? Can you elaborate on that?
Ara Hovnanian: Sure. This is Ara. I’ll comment on that. As we mentioned, in the depth of the COVID crisis in the middle of March and April when things were looking fairly dire, frankly, sales were really off, the economy was uncertain and basically the US shut down. To be conservative, we discounted a bit and raised incentives, particularly on spec homes that could deliver soon. Those homes are the ones that delivered a lot of them in the third quarter. And they had lower gross margins. As we mentioned also in the script, we then pivoted and you know, the month of May were strong, the month of June were stronger and every month since has been stronger. So we began raising prices and we've continued raising prices. That's why you're going to see higher gross margins in the fourth quarter, because we're going to begin to see the benefits of that pivot and pricing strategy.
Alex Barron: Okay. That sounds good. So even though you're not really giving guidance for next year, I imagine maybe we can expect a similar margin for the first quarter of next year. Okay, great. On the – the other question was on the joint ventures. So that income right now is only coming from the existing joint ventures, you're not delivering any homes in the KSA. So when do you expect the KSA will start showing some contribution?
Ara Hovnanian: We are on the verge of delivering homes right - we're just on the verge now. I'd expect that should begin in the next quarter or two. And there are reason I'm hesitating because just as the pandemic has created lots of issues and delays in the US, it's done the same in Saudi Arabia as well. But all is going well. Sales are strong, production is continuing. So we're just going through the logistics steps to begin delivering homes in fairly large quantities.
Alex Barron: Okay, great. And if I could ask one last one. So your liquidity looks pretty good here. And you guys took advantage and bought back some debt [ph] this quarter. Is there anything that constraints how much you could do that next quarter?
Larry Sorsby: Repeat the question one more time…
Alex Barron: Yes, you expect your liquidity, I think you said was over $300 million at this point. And you bought back like $25 million of the 2022 bonds. Is there anything that constrains how much you could buy next quarter?
Larry Sorsby: Yes, we have a limited capacity under various covenants to do additional repurchases of the 2022 bonds. So I would say that you should not expect a similar amount to be done next quarter.
Alex Barron: Okay, great. I'll get back into queue. Thanks.
Operator: Thank you. Our next question comes from line of Thomas Maguire from Zelman & Associates. Your question please?
Thomas Maguire: Hey, guys, great job on the quarter.
Ara Hovnanian: Thank you.
Thomas Maguire: Just on the price worst-case [ph] dynamic, what - whatsoever that makes you pull that or it gets to. Ara, you talked about raising prices across virtually all communities? What drives that decision and kind of say, you know, that pace is enough or is there a return metric you're thinking about? Is it more that you don't want the backlog to get too far extended? Or just how do you think about that?
Ara Hovnanian: Really, all of the above. I mean, the reality is we analyze it on a community-by-community basis. If we sold a couple of homes in a week, and that meets our budgets, we are not shy to raise prices that we - if we raise prices and still sell a couple of homes, we will raise prices again. And then we'll see what happens. If we continue to sell, we will raise prices again. If a price increase in a particular community begins to dampen sales, then we'll hold back on selling - on raising prices. So it's really a dynamic situation that we analyze community-by-community, market-by-market across the entire country.
Thomas Maguire: That makes kind of sense. Got it. And then just on the community count, I know there's a ton of moving pieces and you're continuing to close out communities with a robust pace here, but how do you think about the ability to put a floor on that number and begin ramping moving forward? And, you know, I know we talked about qualitatively the revenue and with land deals coming to the committee, is there a line of sight to that number moving higher in the coming quarters? And then you know, what drove the decision to contribute the communities to the JVs?
Ara Hovnanian: First, we don't anticipate at the moment contributing more communities to JVs. But you know, we review that strategy month-to-month. We are having fairly good success right now in acquiring new parcels, land parcels in almost all of our markets that meet our return hurdles at current prices and current paces, assuming no home price appreciation. So we're pretty comfortable there and feeling good for the longer term. In the shorter term, as we mentioned in the script, we have 100% of all of the land we need to achieve meaningful growth in 2021 next year, which begin for us in November, and then we've got 80% of all the land we need to have meaningful growth again in 2022. So we're feeling like we're in pretty good shape in terms of our land position, frankly, a little better than we normally would be this early on, and we're finding opportunities that should fill our 2022 desires that remaining 20% and then opportunities for 2023 deliveries beyond that.
Larry Sorsby: Yeah. I think, you know, that the focus needs to really be [ph] on revenue growth, whether we get that by having additional communities, or whether we get that by having higher sales on a per community basis. You know, the objective is to get higher revenues and higher profitability. So if, in fact, we continue, as we suspect we will, at a higher sales pace per community given the increased demand that just is going to cause us and every other homebuilder out there to sell through communities faster than they had previously anticipated. But the end result will still be revenue and profit growth for us and the industry.
Thomas Maguire: Very good. Thank you. I really appreciate it. Congrats again. And enjoy long weekend.
Ara Hovnanian: Thanks.
Operator: Thank you. [Operator Instructions] Our next question is a follow up from the line of Alex Barron from Housing Research Center. Your question, please?
Alex Barron: Yeah. Thanks, guys. So your tax rate has been fairly low these last few quarters, is there any expectation of when that goes back to normal?
Larry Sorsby: All that's in the tax line, on P&L right now its state taxes. You don't see any federal taxes because of the deferred tax asset that's fully - has a full reserve against it. So anytime we have income the deferred tax asset gets used and valuation allowance gets reduced, but there's no P&L effect. And that won't change until we are able to reverse the reserve, which is something that we probably wouldn't be able to look at until we have sustained profitability at a reasonable level. So maybe this time next year, our trends continue, we can have that conversation and consider reversing some or all the reserve.
Alex Barron: Okay. Yeah, that was going to be my next question. If it was reasonable to expect maybe towards the end of next year that you'd be qualifying for reversing the DTA?
Larry Sorsby: I think we'll be certainly looking at it around that time, yeah.
Alex Barron: Okay, great. Thanks so much.
Operator: Thank you. And this does conclude the question-and-answer session of today's program. I'd like now - like to hand the program back to Ara Hovnanian, ready for the remarks.
Ara Hovnanian: Well, thank you very much, as I said at the outset, we're pleased with our results. But we're even more excited about the results to come. We look forward to giving you continued good news in the very near future. Thank you.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.